Operator: Good day and thank you, for standing by. Welcome to the Cantaloupe Fourth Quarter Full Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Dara Dierks [Ph] Investor Relations. Please go ahead. 
Unidentified Company Representative: Thank you, and good afternoon, everyone. Welcome to the Cantaloupe Fourth Quarter Earnings Conference Call. With me on the call this afternoon is Sean Feeney, Chief Executive Officer; Doug Bergeron, Chairman of the Board, Scott Stewart, Chief Financial Officer, Ravi Venkatesan, Chief Operating Officer. Before begin today’s call, I would like to remind you that all statements included in this call other than the statements of historical facts are forward looking in nature. Actual results could differ materially from those contemplated by the forward-looking statements, because of certain factors including, but not limited to, business, financial, markets and economic conditions. A detailed discussion of the risks and uncertainties that could cause actual results and events to differ materially from such forward looking statements is included with our filings with the SEC and in the press release issued earlier today. Listeners are cautioned to not take place undue reliance on any such forward looking statements, which reflect management’s views only as of the date they are made. Cantaloupe undertakes no obligation to update any forward-looking statements whether because of new information, future events or otherwise. This call will also include a discussion of certain non-GAAP financial measures that we believe are useful for among other things, evaluating Cantaloupe’s operating results. These non-GAAP financial measures are supplemental to and not substitute for GAAP financial measures, such as net income or loss. Details of these non-GAAP financial measures, a presentation of the most directly comparable GAAP financial measures and the reconciliation between these non-GAAP financial measures, as well as the most comparable GAAP financial measures can be found in our press release issued this afternoon, which has been posted on the Investor Relations section of our website at www.cantaloupe.com. And with that, I would like to turn the call over to Sean. 
Sean Feeney: Thank you, Dara. Good afternoon and thank you for joining us today. For the past two years, we have been working on a fundamental transformation of the company and today I am excited to report strong results for Q4 and for FY 2022 showing continued momentum behind our strategy.  First, on Q4. Our revenue during the quarter was $58 million, up 18% over last year’s fourth quarter. This marks an all time high for total quarterly revenue and it’s the fifth successive quarter where we posted double-digit revenue growth. The strong finish to the year was driven by 17% growth in combined transaction and subscription revenue and equipment revenue growth of 22%. During the quarter, we also grew active customers by 21% and active devices by 4%. Our adjusted EBITDA for the quarter was $2 million, compared to $5 million in the same quarter of the prior year. As a reminder, prior year benefited from a $2.9 million adjustment to our sales tax reserve due to a state law change.  Now, a few highlights from our annual results. For the full fiscal year, we reported a 23% increase in revenue to $205 million, also a new company record in delivering on the initial guidance we provided last September despite a slowdown in transactions during the winter months due to the resurgence in COVID-19. Our adjusted EBITDA was $9.9 million for the year, up 30% over last year’s $7.6 million, again delivering on the initial guidance. This was driven by our strong revenue growth and disciplined expense management.  We also managed our inventory and supply chain aggressively and effectively throughout the year. We utilized our strong balance sheet to build up our inventory and ensure we could meet the demand of our large and growing customer base, particularly during the 4G and EMV hardware upgrade cycle.  And with that, I’d like to turn the call over to our Chairman, Doug Bergeron for a few words. Doug?
Doug Bergeron: Thanks, Sean. I’d like to take this opportunity to congratulate Sean and the senior leadership team on the quarter and on the fiscal year results. Sean has a played a pivotal role at Cantaloupe, delivering consistent growth and profitability over the last two years. I feel more confident than ever in the strength of the company’s foundation and the talent we’ve been able to recruit positioning us for long-term growth.  Today, we are announcing that Sean will retire at the end of September. Then as part of our planned succession, our COO Ravi Venkatesan will take on the CEO role on October the 1st. Ravi will also be appointed to the Board of Directors at that time replacing Sean.  During his time as COO, Ravi developed a compelling vision for growth and launched a number of new products, proving that he is the right person to lead Cantaloupe as we look to expand internationally and into adjacent markets. He is known to many of our investors but if you have not yet interacted with him, you’ll get a chance to meet him as well as other members of our leadership team in person at an Investor Day, which the company will host in New York City on December 12.  And with that, I’d like to turn the call over to Ravi. Ravi?
Ravi Venkatesan: Thank you, Doug, and thank you, Sean. I am excited and humbled by the opportunity to lead this great company to the next phase of growth and development. It’s been an incredible turnaround under Sean’s leadership over the last two years and I am very grateful for the mentoring and thoughtful preparation for this role that I have received from Sean.  The self-service economy is still at an early stage. I am very excited about Cantaloupe’s capabilities and our market position that allow us to capitalize on secular tailwinds in this space. We have worked with the Board, external partners and the leadership team on our longer term growth strategy. You’ll hear more at our Investor Day that Doug mentioned on December 12th, where we will take investors through this multi-year strategic plan in more detail.  The last year was one of reigniting innovation, which led us to launching a number of new products. Just to name a few; we launched the Engage and Engage Combo interactive devices that combined card reader functionality and telemetry into a single unit with a full touch interactive screen. We have a rich roadmap of features that build upon the interactive capabilities and will launch in the coming quarters and years.  We had already shipped over 43,000 of these devices in fiscal year 2022 and we see continued momentum this year. We enhanced Seed Sync, an innovative tool that customers are capitalizing on to accelerate the roll out of Seed across their operations. For example, Prestige, a large operator was able to rapidly onboard 5,000 vending machines after an acquisition giving them instant enterprise-wide visibility. We are pleased with the reception to our new Cantaloupe ONE platform, a first of its kind bundled subscription model that enables retailers to future proof their business, eliminate capital expenditures on new hardware and reduce the risk of hardware obsolescence with zero upfront purchases. This has allowed us to deepen our reach within the SMB market where upfront capital is a greater consideration in purchase decisions.  Our Remote Price Change solution launched at the NAMA Industry Conference in April provides customers the ability to manage pricing on demand, react to supply the increases and merchandize dynamically. One of our clients, Continental Services noted that at our largest college campus it would take three weeks to change prices, now it takes three days.  In summary, the results of our innovative and flexible product launches and improvements to the Cantaloupe platform are enabling more partners to capitalize on the incredible opportunities in the self-service economy.  Moving to sales, we’ve added additional resources to bolster our leadership position in the U.S. which has shown dividends. In the most recent quarter, we’ve been able to expand our enterprise-level relationships with Continental Services, Sodexo’s InReach and Pepsi Bottling Ventures, we expanded the range of products and services that they purchase from Cantaloupe including our secure 4G EMV compliant payment systems, our transaction processing services, as well as our Seed cloud software platform.  Our Lead With Seed strategy, selling our full suite of cloud software solutions helps us to create more meaningful relationships with customers who rely upon Seed for managing critical areas of their business operations. Another recent Seed new customer win is essentially organic vending who have gone all in with Cantaloupe, including add-ons for HIVERY and Remote Price Change.  We are also seeing positive momentum with win backs. For example, Allison Industries was a long time Seed customer, who had left for a competitive solution. Within twelve months, they returned to Cantaloupe’s Seed platform and enrolled 1,100 of their connections on to our Cantaloupe ONE bundled subscription service.  With the addition of Jeff Dumbrell as our CRO, we’ve expanded our distribution channels to accelerate growth. For example, we’ve renewed our contract with the Wittern Group, a Seed Cantaloupe reseller was recently ordered thousands of our connected devices. Beyond new products and adding to our sales and service teams, we continue to focus on driving long-term operating leverage and during the year, we invested further in improving the G&A side of our business, as well as our internal systems. In July, we migrated both our payments and IOT platforms to the Amazon Web Services cloud. This migration gives our network best-in-class stability and reliability and an easier path to replication in international markets.  In addition, we’ve completed our conversion to FICO, which will also deliver future cost savings. We continue to strengthen our leadership team and I am happy to announce that Gaurav Singal will join Cantaloupe as its new Chief Technology Officer on September 12. Gaurav joins Cantaloupe from the Georgia Lottery Corporation where he was the Executive Vice President and CIO responsible for a comprehensive digital transformation.  His other experiences include, serving as the CPO for the last mile at XPO Logistics, a Vice President of Technology at Goldman Sachs and a former founder of a technology startup. Gaurav has extensive experience in scaling technology companies and driving innovation. Singal graduated from the Indian Institute of Technology at Delhi with a degree in Chemical Engineering and a Masters in Computer Science from the University of Illinois, Chicago. I’ll now turn it over to Scott to review the financials and our outlook. Scott?
Scott Stewart: Thanks, Ravi. During the fourth quarter, as Sean mentioned, we achieved another quarterly revenue record. Q4 FY 2022 revenue was $58 million, an increase of 18% year-over-year, simply driven by subscription and transaction fees of $44.9 million and equipment sales of $13.1 million. Our combined transaction subscription revenue grew 17% and our equipment revenue grew 22%, compared to the same quarter in prior period. This also marks our fifth consecutive record high for quarterly transaction revenue and total dollar value of transactions on our platform. Total gross margin for the quarter was 29.5%, slightly down from 30.2% in prior year’s fiscal fourth quarter due to revenue mix. Subscription and transaction revenue margin was 39.5%, flat year-over-year, while equipment revenue margin was negative 4.6% in Q4 2022 compared to a negative 2.3% in the prior year. We've continued to improve gross margins on transaction revenue which is now in the mid-teens. Total operating expense in the fourth quarter of 2022 was $19.2 million compared to $15.2 million in Q4 FY 2021. Recall that in fourth quarter of 2021, reported OpEx benefited from a one-time sales tax pro reduction of $2.9 million due to the state law change. Net loss applicable to common shares for the fourth quarter was $2.1 million, or $0.03 per share, compared to a net income of $2.7 million, or $0.04 per share in the prior period. Adjusted EBITDA was $2 million in the fourth quarter, compared to $5 million in the prior year period. As previously mentioned, the prior year benefited from a $2.9 million adjustment to our sales tax reserve.  Relating to our balance sheet and liquidity, we ended the fourth quarter with cash and cash equivalents of $68 million. The sequential decrease is due to increase in inventory on hand by $14 million. Earlier in the year, we made a conscious effort to increase our inventory to safeguarding our customers. This gave us a competitive advantage at a time when supply chain issues were affecting our competitors’ ability to service customers.  Now turning to 2023 guidance. Based on what we see today, we expect the following: total revenue to be between $225 million and $235 million representing growth of 10% to 15%. The combination of transaction and subscription revenue will be between $191 million and $198 million representing growth of 13% to 17%; total U.S. GAAP net income to be between $1 million and $5 million; total adjusted EBITDA to be between $12 million and $17 million; total operating cash flow to be between $10 million and $15 million. We expect equipment revenue to be relatively flat year-over-year, but skewed to the first half of the fiscal year as we conclude the 3G and EMV upgrade cycles. Conversely, we expect transaction and subscription revenue to ramp sequentially throughout the year.  With that, I will now turn the call over to the operator for Q&A. Operator? 
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Cris Kennedy from William Blair. Your line is open. 
Cris Kennedy: Hey, good afternoon, and thank you for taking the question. Doug, can you talk about, I remember in the first call you were on, you talked about long-term confidence in the business growing at least 30% and generating at least 20% operating margins. Can you just give your updated thoughts on those long-term objectives? 
Doug Bergeron: Yeah, I mean, Rome wasn’t built in a day, but as Ravi pointed out to the fact that a lot of the business now is positioned to get great operating leverage. I see, I am the Chairman and the CEO, but I see transaction and recurring software to be safely growing in the mid-teens. If we get more traction in new geography which we are working diligently on, that’ll be upside to that.  Equipment growth as we said should be flat. That’s the razor and razor blade model. You need to, not only get those systems out there and upgrade it and new territory established in order to sell the software stack that we have and the transaction stack that we have on top of them. But I think the business is positioned for growth.  We’ll continue to invest in great sales and marketing talent, great product innovation, et cetera and I don’t know what the margin structure looks like. We are positioned for profitability, more profitability next year than this year. This year was more than last year. So, I mean, depending on how long you want to pull up the curve, I see no reason why profitability shouldn’t continue to go up over time. 
Cris Kennedy: Great. Thank you. And then, Ravi, if you could just, congrats on the new role. Can you just kind of talk about your key priorities as you enter the new position? Thanks a lot guys. 
Ravi Venkatesan: Thank you, Chris, and good question. The priorities have been established over the last year I would say and as I mentioned, we worked with the Board and Sean and other external partners on a very robust strategic plan with a much longer term outlook. So the priorities are going to be to start executing the discipline on that and make sure that the execution matches up to the strategy in which case there is a lot of value to unlock.
Cris Kennedy: Okay. Thank you. 
Operator: Thank you. One moment for our next question. Our next question will come from the line of Mike Lattimore from Northland Capital. Your line is open. 
Mike Lattimore : All right. Thanks and congratulations Ravi and Sean for your new roles. Just I guess, maybe Ravi on the subscription business here, what you see is the main driver of the subscription kind of growth this year? I know there are several, but maybe what would be the top two or three let’s say? 
Ravi Venkatesan: Again, great question, Mike and always a pleasure to hear from you. Look, it’s the subscription growth as Doug pointed out, it’s a little bit of the razor and razor blade model. So the more we get our connections out there, that naturally drives subscription growth in terms of software that we layer on top of that. In addition, we’ve also diversified the range of add-ons with the Remote Price Change product, the artificial intelligence-based merchandizing products and we have a number of those in the pipeline.  So, as we layer on more of those what you’ll see is, subscription growth is driven by two different levels. One is, continued connection growth and the second is increased revenue per connection, because we are now putting more add-ons on top of each connection. 
Sean Feeney: And then, Ravi, I would add to that, then Mike, I would add to that a little bit. So we are also expecting to see a lot of growth out of our Cantaloupe ONE program, as well. We’ve seen a really good result thus far and we expect that’s going to continue through the year. 
Mike Lattimore : Okay. Very good. And then, I think you said you have all your customers migrated to Pfizer now. I guess, that should help gross margin I imagine. But how should we think about subscription and transaction gross margin this year? 
Scott Stewart: Yes, so, overall, we mentioned on the first and third quarter that we are in the mid-teens for the gross margin on transaction revenue. We expect that to continue. Overall, we are seeing savings from the migration that we had to Pfizer. We’ve also worked on some other cost saving measures. So just renegotiating some of our contracts that you get some additional incentives. So we expect that to maintain within the mid-teens even maybe improve a little bit more as we go through the year. And then on the subscription side, what we said we are in the 80% to 85% that’s just the software margins. We anticipate that to remain, as well. 
Ravi Venkatesan: And I would add as a reminder that on the transaction side, on the one hand we are continuing to expand that gross margin, on the other hand, that margin drops directly to the bottom line. There is no incremental G&A associated with it. So, it’s pretty attractive revenue and margin for us as a business. 
Mike Lattimore : Yeah. Great. That makes sense. 
Scott Stewart: Great. Thank you. 
Operator: Thank you. [Operator Instructions] Our next question comes from Gary Prestopino from Barrington. Your line is open. 
Gary Prestopino: Hey Doug. Good afternoon, everyone. Couple of questions here. As it looks like the equipment sales are not going to be as dramatic as last year, but as you come out of this 4G upgrade, you said the back half of the year it will be, I think a little flattish. Will you still have to be selling this equipment at a negative margin given that the upgrade is over at this point? 
Ravi Venkatesan: Gary, as we get back the upgrade, we think margins will come back up and that imperative will having to sell them as breakeven or negative margin should no longer be there. Now, as we go into international geographies and into new adjacent markets, there are always opportunities where strategically we may do bigger deals where we subsidize that margin a little bit to get the recurring revenue on the back side of that. 
Gary Prestopino: Okay. And then, with the Cantaloupe ONE platform, if I remember correctly, you will actually own the device on your balance sheet. Is that correct? Thanks. You are not selling this – okay, you are not selling this device and then selling it to a third party. So, about how much are you guys and you don’t have to give me an exact number, but how much on a cost basis is it costing you for these devices to put out there? 
Ravi Venkatesan: Gary, we don’t disclose those numbers for competitive reasons. But I mean, you’d kind of piece it together based on the margins we’ve had et cetera. But there is a lot of sensitivity around those numbers with respect to the situation, both the supply chain situation as well as competitive situation. 
Gary Prestopino: Okay. And I am just trying to get an idea of what your outlay on a capital basis is going to be as you grow this product? Just a couple other …
Sean Feeney: And Gary, just – sorry Gary, just to jump in real quick just let you know. We do make a lot better margins on the Cantaloupe ONE program. So I want to be very clear on that. So, our margins for the year on equipment were around negative 3.5%, but with the Cantaloupe ONE, there are lot more on the positive side. 
Gary Prestopino: Okay. Better margins, that’s great. And then, lastly, let me ask you, your customer counts look like they were up 21% year-over-year. Your active devices were only up 4%. So, I guess, did you sign a whole bunch of new customers in Q4? Or the back half of the year that do not have active devices out there? Or are you just signing a bunch of smaller customers?
Ravi Venkatesan: No, Gary, what happens there is, as we navigate the upgrade cycle, the 3D and the EMV upgrade cycle, if we replace existing equipment, that doesn’t increase our active device numbers, right? And as we start getting out of that you will see it skew much more towards the active devices keeping pace. The good news side of the story is that in spite of moderate growth in active devices, there is a more significant growth on the revenue year-over-year as well as the active customers and that should tell you that we are the strategy of layering add-on is starting to be successful. So we are able to derive more revenue per connection. 
Gary Prestopino: Thank you so much.
Sean Feeney: And then, Gary, you’ll also find out that our sales to the SMB markets are at higher margins as well. 
Gary Prestopino: Okay. Thank you so much.
Operator: Thank you. And I am not showing any further questions in the queue. I’d like to turn the call back over to Ravi Venkatesan for closing remarks. 
End of Q&A: Thank you, operator. I would once again like to thank Sean for his contribution and just say how excited I am about the opportunity to lead Cantaloupe. We look forward to speaking to many of you over the next few weeks and then reporting our first quarter results in November. I hope to meet many of you at our Investor Day on December 12th where we will review our growth strategy and longer term goals in more detail. Have a great evening. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.